Operator: Good morning, and welcome to the Buenaventura Third Quarter 2013 Conference Call. [Operator Instructions] It is now my pleasure to turn the call over to Rafael Borja of IFRS Corporate Communications. Sir, you may begin. 
Rafael Borja: Thank you, and good morning, everyone. Welcome to Compañía de Minas Buenaventura's Third Quarter 2013 Earnings Conference Call on this October 31, 2013. Today's call is for investors and analysts only. Therefore, questions from the media will not be taken. Joining us from Lima, Peru are Mr. Roque Benavides, Chairman and Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; as well as other members of the company's senior management team. They will be discussing Buenaventura's results per their report issued yesterday. If you did not receive a copy of the report or you wish to join the mailing list, please contact IFRS in New York at (212) 406-3691.
 Before we begin, I'd like to remind you that -- everyone that any forward-looking statements made today by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the company's earnings report in the disclaimer. We ask that you refer to it for guidance. 
 It is now my pleasure to turn the call over to Mr. Roque Benavides. Mr. Benavides, please begin, sir. 
Roque Ganoza: Good morning, and welcome to Buenaventura's quarterly conference call. During this third quarter, Buenaventura's pleasingly announced measures to achieve significant cost savings and focus on cash generation were successfully implemented. We include in those the stopped production of -- in 3 of our small unprofitable operating units, and by doing that, reducing cost; focusing mine exploration activities on high-grade and accessible targets for both brown and greenfield areas; and improving efficiencies across all of our operations.
 Our operating income during the third quarter of 2013 was $63.4 million, a significant improvement when compared to the $4.3 million loss reported in the second quarter 2013. Net income was $65 million, higher than the $19 million reported in the second quarter 2013. EBITDA from our direct operations was $104 million, 157% higher when compared to the $40 million reported in the second quarter of 2013.
 EBITDA, including associates, was $238 million, 37% lower than the figure reported in the third quarter 2012. This was mainly due to an inventory write-down provision and social responsibility expenses at Yanacocha. 
 During the -- in terms of our operating revenues, during the third quarter of 2013, net sales were $335 million, a 15% decrease, compared to $394 million reported in the third quarter of 2012. This was explained by lower gold, silver and copper prices, as well as reduction in zinc and lead volumes sold.
 Net sales for the first 9 months 2013 were $949 million, 12% lower than the first 9 months of 2012, while royalty income was $37 million in 2013, a 32% decrease compared to the $54 million reported in the same period of 2012. 
 Buenaventura's equity production in the third quarter of '13 was close to 100,000 ounces of gold, 3% higher than the 97,000 ounces reported in the third quarter of 2012, mainly due to an additional production from Breapampa that partially offset -- partially offset by a decline at Orcopampa. Silver production, including associated companies, during the third quarter '13 was 4,930,000 ounces of silver, 5% higher when compared to the figure reported in the third quarter of 2012. 
 Our equity production for the first 9 months of this year was 303,600 ounces of gold and 14,100,000 ounces of silver. This represented a 3% increase in gold and 7% increase in silver production compared to the first 9 months of 2012. 
 Orcopampa's total production in the third quarter of 2013 was 59,000 ounces, 16% lower than the 70,000 ounces reported in the third quarter of 2012. Cash operating cost in the third quarter of 2013 was $649 per ounce, 21% higher when compared to the third quarter 2012. However, when compared to the second quarter 2013, cash operating cost decreased 18%. 
 At Uchucchacua, total silver production in the third quarter of 2013 was 2.9 million ounces, 5% higher than the 2.8 million ounces produced in the third quarter 2012. Cash operating cost in the third quarter of '13 was $14.43 per ounce, 14% lower than the figure reported in the third quarter of 2012.
 At Mallay, total production for the quarter was 348,000 ounces of silver, 35% higher than the third quarter of 2012; and 950,000 ounces for the first 9 months of the year, 140% higher than the same period of 2012. 
 At Julcani, total production for the third quarter of this year was 779,000 ounces of silver, 32% higher compared to the third quarter of 2012 due to higher ore treated explained by the increase in plant capacity from 400 tons per day to 500 tons per day. During the first 9 months of this year, silver production was 1.9 million ounces, 6% higher than the same period of last year. 
 Breapampa's total production in this quarter was 20,000 ounces of gold, with a cash cost of $371 per ounce. 
 At La Zanja, total production for the quarter was 35,600 ounces of gold, 20% increase when compared to the third quarter of 2012. 
 At Tantahuatay, total production for the third quarter of this year was 39,500 ounces of gold, in line with the figure of the same period for last year. The cash operating cost in the third quarter was $360 per ounce for Tantahuatay. 
 During the first 7 months of 2013, El Brocal plant capacity was, on average, devoted to treat 60% polymetallic ore from Colquijirca in Tajo Norte and 40% to copper ores from Marcapunta Norte. However, since August 2013, plant capacity has -- was entirely devoted to the treatment of copper ores. 
 Copper production was 8,200 metric tons versus 3,700 metric tons reported in the third quarter 2012.
 General and administrative expenses in the third quarter of 2013 were $16.9 million, 26% lower than the figure reported in the same period of last year.
 Exploration in non-operating areas during the third quarter of 2013 was $5.7 million, compared to the $27.4 million reported in the third quarter of 2012. During the period, Buenaventura's main exploration efforts were focused on La Zanja and Chanca. 
 It is important to mention also that Buenaventura entered into an agreement with a Mexican company, Surutato Mining, to explore a silver-zinc-lead deposit located in Northeast of Culiacan City in Sinaloa. 
 Operating income in the third quarter of 2013 was $63 million, 48% lower when compared to $123 million reported in the third quarter of 2012. However, this result was significantly better than the negative $4.3 million reported in the second quarter of 2013 due to higher sales, lower production cost and lower exploration expenses. 
 During the third quarter, Buenaventura's share in associated companies was $40.9 million, 65% lower than the $118 million reported in the same period last year. Yanacocha's contribution towards these results decreased 96%, from $65 million to $2.4 million in the third quarter of 2013. And Cerro Verde's contribution decreased 27%, from $45.8 million in the third quarter of 2012 to $33.6 million in the third quarter of 2013. Coimolache's contribution decreased 64% in these fields. 
 During the 9 months of 2013, Buenaventura's share in associated companies was $174 million, 54% lower than the figure reported in 2012.
 In terms of our project development at La Zanja, Pampa Verde Project will allow us to develop of a new open pit, an expansion of a current leach pad and improvements of the operation's road access. We continue working on that. 
 At Rio Seco manganese sulfate plant, Buenaventura continued with the construction of the manganese sulphate plant. Total budget for the project is $98.5 million. As of the end of third quarter of 2013, total expenditures were $94 million. The project includes an acid leaching plant, a sulfuric acid production plant and a manganese sulfate crystallization plant. It also includes a warehouse to store low manganese silver-lead concentrate and another one to store the finished manganese sulfate crystals. We expect to be finished with the construction and the operation of this plant by the end of this year.
 The construction at the Huanza hydroelectric plant progresses and during this quarter have included the finalizing the Water Conduction Tunnel, 10-kilometer tunnel, which -- where we found some difficult ground, but we have solved those problems. We have finished with the power plant, and it's even worse at that plant. We are finished with the Pallca Dam that will mean our reservoir for the generation of electricity. We are finished with Penstock. And we are installing the second-generation -- the second generator, and all of this should be completed before the end of the year. 
 It is important also to mention that the Chailhuagón reservoir for Yanacocha was finished and is in operation. And today, we have learned that the access roads for the Perol reservoir are being built by Yanacocha in order to be in a position to build the Perol reservoir, and that will enable that to develop the Minas Conga or the Conga project. 
 Yesterday, we had a board meeting and following the policy of Buenaventura to distribute 20% of net income of the year and an interim dividend of 10%. In deducting of that Cerro Verde and Yanacocha equity income while we did not receive any dividend from those 2 companies, we have declared a small cash dividend of $0.01 per share that's -- just to follow with the policy that we have been following for the last 15 years. 
 With that, we are open to any questions that you may have. Thank you. 
Operator: [Operator Instructions] Our first question comes from Thiago Lofiego from Merrill Lynch. 
Thiago Lofiego: So the first question is on costs. Could you give us some more color on your cost-cutting initiatives? Do you think there's additional measures you can take from here? And do you see more room to reduce cost and improve productivity? Are there any other mines you could shut down, so in general, if you could comment on that? And the second question, I -- sorry, I missed the beginning of the call. So could you comment a bit on your potential growth initiatives on Conga or Yanacocha, what's being decided within the country right now? If you could update us on that, that would be great. 
Roque Ganoza: Our cost reduction program, this is following our strategic plan. And obviously, we were working on this and we hired Proudfoot for increasing efficiencies, both in Uchucchacua and Orcopampa. With the drop in the metal prices, we have started a very austere program for which we have stopped producing from 3 smaller operations, and we continue evaluating others. And our business development area is looking for opportunities to sell or to reduce all of these operations that may not be as efficient as we like to. In addition to that, we are obviously in a very tight cost reduction program, which essentially is being shown in this quarter. So in terms -- of course, we continue with all these programs. I don't know if Carlos has anything to add to that. 
Carlos Pinillos: Well, mainly the -- [indiscernible] is to focus on our operations, controlling our explorations incentives. The reduction of the labor force has been already completed. And as Roque mentioned, we are in the process of covering the small operations that are not able to create value for the company. 
Roque Ganoza: I think it is a constant process and we will continue with this cost reduction. In terms of growth potential, arguably, and we have mentioned this many times, Buenaventura has to be seen as a company with 3 -- or a table with 3 legs. Our own direct operations that we have referred to; Yanacocha, where we are developing the Conga project and taking into consideration the social confrontation that we had a couple of years ago. I think the situation has improved. We have been able to build one of the reservoirs. We are building the access roads for the second one, and we are receiving substantial support from the government. In addition to that, Cerro Verde continues with its expansion project to reach 600,000 tons of copper output per year. And obviously, we have been investing heavily in the Rio Seco plant. We have been investing in the Huanza plant. We have been investing in the feasibility, in the construction of Tambomayo that we expect to be in production probably in a couple of years' time. We continue signing additional ores with high grade, and I must repeat that we continue exploring in our own mines. And the word of Buenaventura these days is focus. We have to focus on our operations. We have to focus on brownfield exploration. We have to focus on the project that we are working and focus on retaining as much cash as we can in order to brave any difficulties in the future. So you can be sure that we are working as intense as ever but with a very -- with a focus on cost reduction. 
Carlos Pinillos: If I may add to that, we are going to complete the expansion of El Brocal that will -- at production with an important change in the economy for the scale we are going to reduce our OpEx dramatically because we are including an open belt, another land road to transport the ores to a plant the new facilities, the new mills, higher recoveries and this will be an important progress from January onwards. 
Thiago Lofiego: Okay, that's great. Just back to Congas. What are the next steps? And when do you think is a reasonable timing for approval and then for the start-up? 
Roque Ganoza: Well, I think the porphyry [ph] will play a substantial role in Conga, nonoperates. I think Peru as a country cannot afford that Conga and Tia Maria or Southern Copper don't like. I think we are all aware that with this different situation in the world, in the global economy, we need to get all these projects going on. And obviously, the Conga project has become an emblematic project and we -- as I've said, we have been able to build one of the reservoirs. We are building the access roads within the property in order to build the Perol reservoir. And then, if things are okay, we will go ahead with the project. Today, just for those that are not Peruvians and that are unfamiliar with Peru and some others, today, Cajamarca is a lonely region of Peru that is in recession. And people are very much aware that they cannot continue in this situation. And Conga has meant a reverse on the progress of the region, and we believe that this situation is working in our favor. At this point in time, we cannot give you a specific date, but we are very optimistic that this project will fly. 
Operator: Our next question comes from John Bridges from JPMorgan. 
John Bridges: I just wanted -- you mentioned the hydro plant -- hydroelectric plant coming on. Presumably, that's going to start generating revenue for you later this year or early next year. How is that going to appear in the accounts? And how much value do you expect to see from that next year? 
Carlos Pinillos: Yes, John, it's Carlos. Well, first of all, we expect to begin generation in November, mid-November, if everything goes fine. Our expectation, according to the capacity of this plant that is 90 megawatts and the hydrology we have to manage, we are going to generate in excess of 500,000 gigawatt hours, and that means that we are going to create an EBITDA of -- in excess of $25 million per year. This will be accounted as a consolidated operation. This will not be going to reduce the cash operating cost of the mine, but will add volumes to our P&L in a consolidated basis. 
John Bridges: Okay, great. And then you mentioned earlier that Brocal was going to be going up to full production next year. What can we expect from Brocal next year in terms of throughput and metals production? 
Roque Ganoza: Well, mainly, Brocal's capacity is going to be 80,000 tons per day throughput. According to our new mining plan, we are going to devote 7,000 tons per day throughput, which is 1/3 of the metallurgical facility, with copper ores coming from Marcapunta and the complementary 11,000 tons per day throughput to the polymetallic ores that come from Colquijirca until we complete the work to carry out the project of San Gregorio, which is what we are waiting for. By the way, it is important to share with you that the new tailing dam is now under operations. The only thing that is missing to complete is just to complete the commissioning -- installing part of the [indiscernible] belt and then the commissioning of certain equipment. Then concluding with a small part of the power line to have the power supply to this project. The expectation is to complete this within this year. 
John Bridges: Okay. And you mentioned better recoveries, so you must have an idea as to how much metal you expect from the mine in 2014. 
Roque Ganoza: We don't have an exact figure. The important thing is that we are going to eliminate slate with mills and water tank -- washing mills that will commit to the recovery of 2 percentage points. But until completing the commissioning in '13 [indiscernible] facilities, it will be pretty difficult to say so. 
John Bridges: Okay. And so in the OREO, how much longer do you think that could take? 
Roque Ganoza: Well, we are in good terms with the local community, the community of BICO. We have reached an agreement to get back an infield view and we have been proposed of the prime minister's office. We are meeting with the community of BICO order to reach positive agreements. We have been feeling the same as in Conga, that things are moving in the right direction. Communities are getting to realize that time is of the essence. Time is the opportunity for them who also receive the benefits of this project. And the case of BICO is we are working with the community and we hope to reach a good agreement and then develop the project. I will not dare to tell you a date because it does not have a date. But the positive thing is that we are meeting and that we will come with good news in the nearer future. 
John Bridges: Very, very wise. Very wise. Do you want to say a few words about what you see in Mexico, in the joint venture and what's driving that interest? 
Roque Ganoza: Well, we have been timidly looking for opportunities in different countries. And at the end of the day, we have concentrated in Chile, which is an expensive country because they have developed most of their projects. But there is always opportunity there. Colombia, where we have also good indications, but the security situation is still something that worries us. And then Mexico. Mexico is a country with a tradition, and we have been looking for opportunities and we find that our geologist considers that this agreement that we have reached is the possibility for us to explore, to show our capabilities and -- in finding additional deposits and developing the project. Some of these projects, and this one that we have reached an agreement, is somewhat known. But we think we can add value to it and we are looking potentially for silver ores more than gold ores in the case of Mexico. So really, we are excited about this agreement and we hope to show some results in the near future. I don't know if Cesar wants to comment on this. 
Cesar Vidal: John, this is Cesar Vidal. We see an upside in 1 or 2 liter veins of 10 ounces per tonne silver with very simple metallurgy. It's a very simple structure, very simple metallurgy. We see an upside there. Our minimum commitments are in time and money, which is always important in these deals, is 1 year $2 million. After 1 year and $2 million, well, you should know if you want to stay and the potential is really significant. Our maximum exposure is over 6 years and $30 million to earn 70% of a new [indiscernible]. So let's wait for the first year there and see how much we can reassure ourselves about the potential. But it's simple veins and high-grade silver, good metallurgy. 
Operator: Our next question comes from James Bender of Scotiabank. 
James Bender: Sorry, just to clarify on the previous question for the Mexico, did you say that the maximum exposure is $6 million for 70% interest? 
Cesar Vidal: No. The maximum exposure, if we carry all the exploration and development, is 6 years, $30 million, 3-0, to earn 70%. 
James Bender: Okay. So to my questions, I have some questions on the operations and then a couple of financial ones. Is -- at Orcopampa, are we still going through the strike there? And could you provide us the status there? 
Carlos Pinillos: Yes. I'm sure, probably, we have a decent strike but we believe that we will take another 2 days. But you know that this is part of the union's activity. Unfortunately, outside of our area, whichever negotiation. But, well, we expect to resume our activities in the -- soon. 
James Bender: And is the strike just limited in Orcopampa? Or is it anywhere else? 
Carlos Pinillos: As of today, it's only at Orcopampa. 
James Bender: And do you expect that based on the -- days that they've been on strike to impact your annual guidance for gold at all? 
Roque Ganoza: Well, always, several days of a strike could impact. However, Francois, our Operations Vice President is over here, and he is showing that he could resume the level of production according to his own mining plant that they could recover the time lost. 
James Bender: Okay, perfect. Moving on to Breapampa and Tantahuatay. It looks like they've been doing well so far. Should we expect similar operations for the last quarter of the year? 
Roque Ganoza: Yes, yes. I think those are nice, very neat operations that are doing very well and we are very proud about them. 
James Bender: Okay, perfect. And for El Brocal, should we expect 100% of the plant for copper for the remainder of the year? 
Carlos Pinillos: Yes. We expect to continue producing copper until the end of the year, yes. 
James Bender: Okay. That's it for my operations. Now moving to more on the financial. On exploration, I saw on the total exploration expenses where if you combine the 2 from the current operations and the non-operating, it's about $45 million. Is that a good run rate for the rest of the year? Or can we expect to see that decrease a little bit? 
Carlos Pinillos: Yes. Mainly, we are going to continue to perform at the same level. We have already reduced in there exploration that is outside the mining operation, the operating side. And there is an ongoing concern in our exploration unit. So yes, it will be [indiscernible]. 
James Bender: Okay. And for 2014... 
Cesar Vidal: Let me answer that. We have 8 ongoing targets in brownfield exploration being addressed by drilling in the combination of family and only 1 target in greenfield. 
James Bender: Okay. And then the brownfield for 2014, should we be expecting similar levels as in what we expect for 2013? Or a bit lower? 
Cesar Vidal: No, similar levels. If you're asking me, these are projects that are essential for the life of our ongoing mines. 
James Bender: Okay, perfect. And then my last question is on CapEx. Your guidance was, I believe, $385 million for the year, this year. Could you provide your expectation of what we should expect for Q4, given that year-to-date, I believe, you've done around $350 million? And then what you expect for 2014 as a reasonable number? 
Carlos Pinillos: Well, just completing the [indiscernible] that many come from El Brocal, which is the last part of the CapEx that we are carrying out now. And for next year, it should be -- it's slightly lower than $250 million. $150 million out of those is sustaining CapEx of our open field operations, the La Zanja and Tantahuatay and Breapampa. But then the maximum is $250 million, including the initial steps of Tambomayo project. 
Roque Ganoza: You have to understand that we have finished with -- essentially, by year end, we will be finished with Huanza, we will be finished with the expansion of El Brocal and we will be finished with Rio Seco. So those are substantial investments of Buenaventura. And for next year, we have to continue developing Tambomayo. And then we will be looking for opportunity that, essentially, do not have budgeted additional and substantial CapEx. 
Operator: [Operator Instructions] Our next question comes from Mark Roth [ph] from -- he's an investor. 
Unknown Attendee: My answer was questioned by the previous analyst from Deutsche Bank about the strike, so we can move on. 
Operator: [Operator Instructions] At this time, it looks like we have no further questions in the queue. I would now like to turn it back over to Mr. Benavides for closing remarks. 
Roque Ganoza: Thank you. Really, the message that we can pass is that we are certainly not happy with our top performance, but I can only say that the team in Buenaventura is working very, very hard on reversing the situation and facing the situation that we are facing. It's typical of the mining industry that we have cycles. And the important thing is that we maintain our strong position in terms of efficiencies, in terms of reduction of costs, in terms of being as reactive and active towards the market. So you can always find us and we will be obviously prepared to answer any question that you may have. And you can be sure that we will continue working very, very hard to perform as best as possible. Thank you very much, and have a good day. 
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect your lines.